Operator: Hello, my name is Jason and I’ll be your conference Operator today. Welcome to Silicon Labs fourth quarter fiscal 2021 earnings call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I will now turn the call over to Austin Dean, Silicon Labs’ Investor Relations Manager. Austin, please go ahead.
Austin Dean: Thank you Jason. We are recording this meeting and a replay will be available for four weeks on the Investor Relations section of our website at silabs.com/investors. Joining me today are Silicon Labs’ President and Chief Executive Officer, Matt Johnson; Chief Financial Officer, John Hollister; and Senior Director of Finance, Giovanni Pacelli. They will discuss our fourth quarter financial performance and review recent business activities. This information along with accompanying financial tables and the earnings press release is available on our website. We will take questions after our prepared comments, and our remarks today will include forward-looking statements subject to risks and uncertainties. We base these forward-looking statements on information available to us as of the date of this conference call and assume no obligation to update these statements in the future. We encourage you to review our SEC filings which identify important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. Additionally, during today’s call we will refer to certain non-GAAP financial information. A reconciliation of our GAAP to non-GAAP results is included in the company’s earnings press release and on the Investor Relations section of the Silicon Labs website. For clarity, all information detailed in the call today will refer to results from continuing operations. Any references to discontinued operations will be explicitly noted. I would now like to turn the call over to Silicon Labs’ Chief Financial Officer, John Hollister. John?
John Hollister: Thanks Austin. Revenue for the fourth quarter ended strong, above the high end of our guidance range at $209 million, representing a year-over-year increase of 43% and our sixth consecutive quarter of record IOT revenue. These outstanding results were again driven by growth in our wireless solutions, which was up 51% year-on-year. We saw growth in Q4 in both of our business units: home and life, and industrial and commercial. The strength was pronounced in industrial and commercial, especially in our proprietary sub-gigahertz products which nearly doubled year-on-year. Industrial growth in the fourth quarter was broad-based with strength in diverse applications such as connected equipment, remote monitoring, smart buildings and retail, and smart city applications such as metering. Growth was spread across our large and diverse customer base. No single customer in Q4 represented more than 5% of total revenue, and our top 10 customers comprised only 21% of our total revenue. We continue to strengthen relationships with the long tail of small and medium-sized customers, even amid challenging pricing and supply dynamics. Distribution revenue was 81% of total revenue for the quarter while geographically revenue growth was strongest in Asia and Europe. For the full year, we recorded annual revenue of $721 million or 41% growth year-over-year. This is significantly above our stated long term compound annual growth rate target for the pure play IOT business and reflects strong design win momentum, as well as a broad-based recovery from the economic and supply chain shocks caused by the pandemic. Toward the end of the fourth quarter, we implemented a series of prices increases across all product lines and customers to recover both existing and expected manufacturing cost increases. We are seeing some near term strength in our gross margin results; however, we expect that to moderate over the course of fiscal 2022, and I will cover this more in the guidance section. For the fourth quarter, non-GAAP gross margin ended above our expectations at 61.4% on strong product mix combined with the aforementioned price increases, as well as expedite charges. Non-GAAP operating expenses in the fourth quarter were slightly favorable to expectations, ending at $94 million. Non-GAAP R&D expenses were $57 million with SG&A expenses ending at $37 million. Our non-GAAP operating profit in Q4 was $34 million, resulting in 16.3% operating margin. Non-GAAP operating profit for the full year was $70 million, resulting in a 10% operating margin, well ahead of our pure play operating model. Our non-GAAP effective tax rate for the quarter ended in line at 10% and non-GAAP earnings per share were $0.77, surpassing expectations. Non-GAAP earnings per share for the full year were [indiscernible].  On a GAAP basis, gross margin for the fourth quarter was 61.3%. Total operating expenses were $125 million with $72 million in R&D expenses and $53 million in SG&A expenses. GAAP operating income was $3 million or 1% of sales, and GAAP earnings per share were $0.13 with some upside from equity income from a corporate investment. We realized a GAAP operating loss from continuing operations for the full year of $33 million. Combined with the gain from the divestiture and results from our discontinued operations, our total GAAP earnings per share for the year were $47.78. Turning now to the balance sheet, we ended the year with approximately $2 billion in cash and investments. Driven by upside operating results and relatively lean working capital balances, we generated strong operating cash flow of approximately $91 million in fiscal 2021. Accounts receivable were up in the quarter on strong shipments, with DSO rising to around 42 days. As expected, inventory declined in the quarter to $49 million or around 6.6 turns. Our inventory balance is significantly below our target level, which would ideally be more in the range of three to four turns. Distributor inventory days at the end of the quarter declined to 37 days in the channel. Our operations team is working continuously with our suppliers to expand capacity and our expectation is that we will be able to activate higher unit output toward the end of this year. Our capital return strategy combined with the launch of an accelerated share repurchase program that commence in late October. Pursuant to the ASR, we purchased $400 million of common stock, and that program is now complete, having retired about 2 million shares. The board of directors has also approved a new open market repurchase authorization for an additional $250 million. We are pleased with the results of our capital return activities in the second half of last year following the divestiture transaction, having returned $1.15 billion thus far, and we expect to continue to opportunistically return capital to shareholders while retaining optionality for strategic M&A activity. I will now cover guidance for the first quarter of fiscal 2022. We expect revenue in the first quarter to be in the range of $220 million to $230 million with growth continuing in both of our business units. Due to the price increase activity completed in late Q4, we expect to see a brief rise in non-GAAP gross margin in Q1 to around 63% as we sell through lower cost inventory. We expect our gross margins to decline over the course of the year as new inventory builds occur at higher cost points. Our manufacturing costs are expected to continue to rise through the year. We expect non-GAAP operating expense to increase in Q1 to around $105 million as we experience typical seasonal increases in payroll-related costs and continued investment in IOT growth. We continue to anticipate a tight labor market in fiscal 2022 with associated inflationary pressures on wages and benefits.  Our non-GAAP effective tax rate is expected to increase to around 30%, which is a significant increase from fiscal 2021, due to new tax rules taking effect that require the capitalization and amortization of R&D expenses for tax return purposes. Absent the impact of the new capitalized R&D rules, we expect our non-GAAP tax rate would be in our more typical mid-teens range. We are monitoring potential legislative developments in this area that may result in the elimination or deferral of this new tax provision. We expect non-GAAP earnings per share to be in the range of $0.58 to $0.68.  I will now turn the call over to Matt. Matt?
Matt Johnson: Thanks John. In my first call as CEO, I’m pleased to report strong financial and operational results. We continue to gain traction in our markets as an IOT pure play and are outperforming our target financial model. Our revenue grew 43% over Q4 of last year, which is significant, and we ended fiscal 2021 with operating profitability ahead of the pace. We also grew design wins in 2021 by nearly 45%, and as we enter 2022, our total funnel is at approximately $14 billion, which is greater than it was pre-divestiture. I’m very proud of the team for successfully executing a transformative divestiture, aligning as one team with one mission and delivering outstanding performance. We grew 51% year-on-year in our core wireless business despite continued supply constraints. We saw gains across all product lines with our strongest growth in sub-gigahertz products, which primarily serve industrial end markets. We are also seeing strong growth in Wi-Fi year-on-year as we continue to see the effect of the Red Pine acquisition. In addition to strong financial results in the fourth quarter, we continued to execute well on new product development, and I’d like to share some of the highlights and other news.  Last week, we announced the BG24 and MG24 wireless SOCs featuring the industry’s first integrated AI and machine learning accelerator. Our most capable SOCs to date, they bring wireless high performance and AI ML applications to battery-powered edge devices. These solutions are matter ready, support multiple wireless protocols, and incorporate the industry’s highest level of IOT edge security, which is ideal for diverse smart home, medical, industrial and commercial applications. We also announced that Z-Wave 800 Series SOCs and modules are available for the Z-Wave smart home and automation ecosystem. The Z-Wave 800 Series family is one of the industry’s most secure ultra low power wireless solution for advanced high performance battery-powered IOT devices and provides greater than 50% improvement in battery life compared to the previous Z-Wave 700 Series.  Additionally, Silicon Labs was proud to be named Global Semiconductor Alliance’s Most Respected Public Semiconductor Company among our peers, a testament to our strong performance, technology and culture. We were also ranked one of the best companies to work for in our industry based on our most recent Great Place to Work survey of our employees.  We were also excited to have Sherri Luther join our board of directors last month. Her extensive experience in the semiconductor industry and her strong leadership at Lattice Semiconductor are a welcome addition to our outstanding board. We’ve also announced that Sumit Sadana was appointed our lead independent director at the beginning of this year. Sumit’s wealth of experience and approach make him an exciting fit for this role.  I also want to congratulate Tyson one last time for his career here at Silicon Labs. We had a great time celebrating his retirement in December and it was great to see old and new faces come to wish him well. It also speaks to Tyson’s contribution towards the amazing culture that we have here at Silicon Labs. 2021 was a remarkable year of transformation for Silicon Labs as we became a focused pure play IOT company. I’m excited to be leading this great team into a new era of industry leadership and growth. We have the people, the IP and the vision to capture this great market opportunity. Our record Q4 is an early indication of the tremendous momentum we carry into 2022 and beyond. Finally, just a quick reminder that we are holding our analyst day event on March 1 at 1:00 pm Eastern time for a comprehensive overview of the IOT market, our business, technologies and financial model. I’ll be joined by John and several executives from our leadership team. The event will be in a hybrid format, so please join us in person in New York or on the webcast. I’ll look forward to meeting many of you then. With that, I’ll turn the call back over to Austin.
Austin Dean: Thank you Matt, and thank you for joining Silicon Lab’s Q4 2021 financial and business update. I will now open the call for questions. To accommodate as many people as possible before the markets open, I will ask that you limit your time to one question with one follow-up inquiry, if needed. Operator?
Operator: [Operator instructions] Our first question comes from Gary Mobley from Wells Fargo Securities. Please go ahead.
Gary Mobley: Hey guys, hope all is well. Let me extend my congratulations on a strong finish to last year and a good start to this current year. John and Matt, I wanted to push back a little bit on what many might view as some conservative assumptions in your long term financial targets. You had been growing your design wins in the high 20% range since 2016. I think you noted this year it grew 41%. Isn’t this supportive of something more than 20% long term growth, and at minimum, how do you view the growth this current year?
Matt Johnson: Sure Gary, this is Matt. We have continued to push on our design wins and we were really happy with the results we saw in 2021 at that 40% growth. One of the reasons that’s really notable for us is that we have pretty stringent controls that we put on our design wins, where to recognize that, it actually has to recognize at least $1,000 of shipments, which in this supply constrained environment we’re in is quite an accomplishment by the team, so we’re really proud of that. That being said, we’re also trying to balance the current demand environment with the supply constraints, so we’re doing our best to strike that balance, and that’s the way we’re operating on a go-forward basis. Specifically what we’re seeing right now is demand continues to significantly outpace our supply, but we are committed to each quarter finding a way to drive more shipments and that’s what we’re committing to. As you heard in the notes, we see in the second half the ability to start increasing that as we go into 2023.
John Hollister: Yes Gary, I would just add, of course we all need to be mindful that this is an unusual time. Demand is very strong. How long this will last, we’ll see, but need to be mindful that we’re in a fairly unprecedented time and we’re putting out our model--please bear in mind it is a long term CAGR that takes into account our best estimates of the SAM growth in the markets we’re targeting over an extended period of time.
Gary Mobley: Got it, okay. It’s understandable why your gross margins might erode from the Q1 peak, just given the timing of higher cost inventory flowing through, but aren’t you also benefiting from some notable mix shifts, in particular it sounds like your industrial IOT radio business is doing quite well. I would presume that’s the highest margin product contributor to the overall gross margin. Do you not view that as sustainable or a long term trend, or just would love to get your thoughts there long term on that mix dynamic.
John Hollister: You bet, Gary - this is John. In the fourth quarter, we did have really tremendous contribution from the sub-gigahertz business. You’re right - that’s among one of the strongest performers in the overall portfolio. We do expect stronger growth coming out of areas where we have more of a nascent position in Bluetooth and Wi-Fi coming up, which may offer some headwind there, but overall we’re really pleased with the results we’re seeing right now.
Gary Mobley: Got it. Again, congratulations guys. Thank you.
John Hollister: Thanks Gary.
Operator: Our next question comes from Raji Gill from Needham & Company. Please go ahead.
Raji Gill: Yes, thank you, and congratulations on a very strong 2021.  A question on the seasonality in the March quarter. In Q1, the guidance implies revenue up about 8% sequentially - that’s well above seasonal patterns. I think in the IOT business last year, it was up as well sequentially. Wanted to get a sense of how you’re looking at growth from off that high base in Q1 throughout the year. Should we expect at a high level a similar pattern that we saw in 2021, where we’ll see above seasonal growth in Q1 and then continued momentum throughout the year, given this gap between demand and supply with respect to IOT?
Matt Johnson: Yes, this is Matt. The quick answer to that is given that the demand-supply gap is what it is, the seasonality doesn’t really come into play that we’ve historically seen as we go throughout the year, so really what’s driving this is, as we’ve talked about, the mix shifts, price increases, and more than anything the supply response. That’s the primary driver of what you’ll see. That used to be seasonality, now it’s supply. Our goal, as we’ve mentioned, is to every quarter ship more than the prior quarter, which is a Herculean challenge in this environment by our operations team, but we’ve been finding a way to do that and we’re continuing to focus on doing that moving forward.
Raji Gill: John, on the margins, you talked about the margins trending down post-Q1 as you absorb higher input costs and maybe see a little bit less of a favorable mix. Can you maybe characterize the magnitude of that expected decline? Even despite the 63% if you look at last year, you’re still well above your long term margin target, and so there’s something else going on besides just the price increases. There’s, as Gary mentioned, a mix shift to industrial wireless radios, but just want to get a sense of what we should be expecting in terms of the decline in the margin from 63%, and when you’re thinking about your long term target on margins, what’s the thought process there in terms of certain drivers that might move that higher, that you’ve witnessed the last year or so?
John Hollister: Sure Raji. Please bear in mind, we do expect cost increases to continue through the course of this year, so we know some that are already active in the first half of this year and we are aware of additional cost increases that will come online in the second half of this year, so we do expect some continued pressure there. We haven’t updated our long term model this morning, so in the current world here, seeing a trend back down to the high 50s is rational, and over the longer term the mid-50s remains our model.
Raji Gill: Got it, thank you.
Operator: The next question comes from Alessandra Vecchi from William Blair. Please go ahead. 
Alessandra Vecchi: Hi guys, I echo the congratulations on an amazing year. Just one question on the comments about proprietary doubling, I think it was year-over-year, or maybe it was quarter-over-quarter. Can you walk us through some of the puts and takes there? Is that really a function of competitive strength, is it a function of end market strength, and how should we think about the mix of proprietary versus other going forward?
Matt Johnson: Yes, I’ll answer the first level in terms of--the first order driver of that is ultimately competitiveness, because that’s what’s putting the demand in place that we’re seeing there. We’re seeing very strong demand in that space and we expect that to continue. The second order driver of that is the supply response in the sense that our--you know, even in that proprietary space, the demand exceeds supply, and we’d love to be able to ship more there but as we work through the year, our goal is to maximize our response to that space, and that’s what we’re working to do.  The easy way to think about it is first order is competitiveness in the space that’s driving the ultimate demand, but it’s also governed by our supply response which continues to be constrained, and we have that gap from demand versus supply.
John Hollister: And just for clarity, Alex, the comments around near doubling was year-on-year.
Alessandra Vecchi: Thank you for that clarification. Then John, maybe one just for you, the comments about obviously higher input costs on the operating side in terms of headcount and maybe new hires going forward, how should we be thinking about operating expenses from the Q1 levels given those pressures as well?
John Hollister: Right. We expect a continued rise in opex per quarter as we work through the course of this year.
Alessandra Vecchi: With that, I will pass it on.
Operator: Our next question comes from Blayne Curtis from Barclays. Please go ahead.
Blayne Curtis: Hey, thanks for taking my question. Just a follow-up on the gross margin. December came in better, so maybe you could just talk about when the price increases started, and then I’m assuming it doesn’t just happen overnight, so is there a dynamic - here’s your work through the year where pricing is still going up, and then the input costs are coming in faster as it rolls through? Can you just talk about the timing of those two variables rolling in?
Matt Johnson: Yes Blayne, this is Matt. The high level, we started increasing--the latest round of price increases late in Q4, so you saw some of that effect, and then you’ll see a full quarter effect of that in Q1, which is important. The second piece is, as John’s mentioned a couple times, the increases that we’re doing are asynchronous to the increases we’re seeing from our suppliers, which creates that lumpiness as you go throughout the year, but we do know and anticipate additional increases from our suppliers as we continue to move forward, so that’s one level of it. The other piece that’s important to reiterate is we’re a couple quarters in as a pure play IOT company post-divestiture, and our model is a long term multi-year model, and we’re in a very atypical market environment right now, so we don’t see that as the right time to be resetting the long term model. That being said, we do expect to come back closer in line to our gross margin model as we progress throughout the year.
Blayne Curtis: Got you. On the tax rate, it sounds like you guys don’t know, but I guess is 30 the rate to think about, at least for this year?
Giovanni Pacelli: Yes Blayne, this is Giovanni. Thirty percent is a good rate estimate for this year. Obviously with the legislative activity in Washington, we’re watching that closely, and absent this rate impact, we would be in our normal mid-teens range.
Blayne Curtis: Okay. I thought prior you were signaling the tax rate would kind of be going up anyway this year, I thought in the low 20s, but I guess you’re saying now [indiscernible], so was that prior signaling because of the uncertainty on the tax credit or has something else changed?
John Hollister: Yes Blayne, nothing else has changed. We’ve just gotten deep into the year now and refined our estimates, but we did signal this earlier and now we’re providing an update to that. Hopefully Washington will eliminate this requirement, but for now this is the legislation that’s in effect so we have to reflect it this way.
Blayne Curtis: Got you, thanks.
Operator: The next question comes from Tore Svanberg from Stifel. Please go ahead.
Tore Svanberg: Yes, thank you, and congratulations on another record quarter here. There’s a lot of talk about pricing as it relates to supply chain and your own pricing, but when you think about your hardware and software platform, especially how you’re integrating and embedding more security and so on and so forth, is it fair to say that you are moving up the value stack here and offering more value, so that’s part of the strong gross margin as well?
Matt Johnson: The primary drivers that we’re seeing right now are definitely--you know, we had the mix effect, we had the price increase effect that we talked about, and that’s what you’re seeing here. That being said, we definitely feel good and are confident about our ability to continue to drive our model and deliver those gross margins moving forward. And yes, we continue to up our offerings, whether it’s--you know, we mentioned mid 2021, services like our custom part manufacturing service, the ability to update solutions over the air, all these capabilities definitely increase our value to our customers and the value of our solutions, which gives us the confidence that as we continue to see this acceleration in our space and acceleration of our trajectory, that we can continue to deliver to the model we’ve committed to, which just a couple years ago everyone saw that as under immense pressure. We feel good that we can deliver to that model, including the revenue growth and at gross margin.
Tore Svanberg: Excellent, very good. Thank you for that, Matt. I’m very intrigued by the BG24 and the MG24 families. This is the first time I’ve seen you guys bring AI and machine learning to connectivity platforms, so could you just elaborate a little bit on how important that is, maybe even talk a little bit to the uniqueness of it in relation to your competitors right now?
Matt Johnson: Sure, absolutely. Top level, we have supported and offered machine learning capability on our devices for a while, but what is really unique about this announcement we just made is it has integrated acceleration on a wireless SOC, and that integrated acceleration allows us to offer that AI and machine learning at incredible efficiency for performing that inference at the edge. Specifically, that is what is new to industry, new to the market, is a wireless SOC that has that efficiency because of the acceleration for running AI and ML, and in doing so, it allows that to be brought to battery-powered applications. For a lot of our solutions, we are--you know, we live at the IOT edge. A lot of those are battery-powered and a lot of them have use cases that would benefit from AI and ML, so we’re really excited that we’re able to bring that integration that allows our customers to have battery-powered applications and take advantage of AI and ML. That’s what’s new about it, and we definitely are seeing a lot of interest from customers, where hey, I could benefit from this, but definitely need that longer battery life that would be required for the applications we’re talking about.
Tore Svanberg: Sounds great. Thank you so much, Matt. 
Operator: The next question comes from Srini Pajjuri from SMBC Nikko Securities. Please go ahead.
Srini Pajjuri: Thank you, good morning guys. Another question on pricing, more related to what kind of impact it’s having on your growth rates. I recall, John, I think the last 10-Q that you filed, I think you disclosed about 5% increase in pricing. Maybe you can talk about how broadly pricing increases have already propagated, and then you said they’re still increasing. As we go through the year, how do you see pricing continuing to increase? Then I guess the other thing, maybe for Matt, is that as you raise prices, obviously it’s no secret that the wafer costs are increasing in the industry, so I’m just curious to hear what sort of feedback, if any, or pushback from your customers you are hearing on these price increases?
John Hollister: Yes Srini, I’ll tackle the first part. We implemented broad-based price increases most recently late in the fourth quarter. We did have some that had occurred earlier in fiscal ’21. Our goal with this latest round of price increases was to really try and get in front of this and deal with it in a holistic manner that’s durable, and that’s the objective we’re trying to get to, even acknowledging that some of that is ahead of some of the cost increases that are yet forthcoming. That’s where things stand today. Of course, we’ll have to keep an eye on it and see what may be further coming on the supply chain side, but at this point, we’re holding with what we have implemented and we’ll see how that progresses.
Matt Johnson: On the question about customer response, pushback to those increases, the way to think about it is this is our 100% focus in our market, and we’re taking a long term approach to the way we’re engaging customers with this. What I mean by that is we’re doing this as constructively as possible, and let’s be clear - there’s no customer that says, I love price increases, but we’re trying to do it constructively by giving a head’s up that it’s happening, explaining the logic, working with them on the ramp, and really doing it in a collaborative way because we see these customers as our long term partners and not a short term opportunity. With that approach, I think we’re getting, frankly, a really strong response from our customers in the way we’re handling this, and we’re appreciative of that and the partnership, but we need to continue to be careful and approach it constructively with them because, as I said, we see this as a long term play, not a short term one.
John Hollister: And let me add one more point to what Matt just said, Srini. Clearly if we just zoom out, the goal here is to activate more supply - that’s what this is ultimately about, securing supply, activating more supply to deliver on what customers need. That’s the objective we’re going for here.
Srini Pajjuri: Thanks John. On the topic of supply, you did allude to, I guess your expectation that supply will continue to improve through the year. Could you give us your goals or targets for your own balance sheet inventory, where would you see that going by end of this year, and then also if you can comment on channel inventory - I think you said it’s about 37 days, where do you see that, where do you think that should be in terms or normal range? Thank you.
John Hollister: Yes Srini, you bet. We would ideally target an inventory that is roughly double what we’re currently carrying. How much progress we could make toward that goal by the end of this year, we’ll have to see - it’s tight. I think it’s fair to say we’ll likely than not fully achieve that, but our goal is to make progress towards that.  On the channel inventory side, our goal is to carry 45 to 55 days of inventory - we’re currently tracking 37 days. I think we will improve that here in the first quarter and strive to keep that level through the year.  While I’m on the point, we did allude to this in the prepared comments, but we do see a greater possibility for unit output materially increasing towards the end of this year, so we do expect the middle part of the year in particular be under particular constraint and we’re continuing to push very hard to improve that.
Srini Pajjuri: Got it. Thanks John. 
Operator: Our next question comes from Matt Ramsay from Cowen. Please go ahead.
Josh Buchalter: Hi, this is Josh Buchalter on behalf of Matt. Thanks for taking my question, and congrats on the results. I wanted to follow up on the previous question a bit. Just given what we’re seeing from your peers and how constrained overall capacity is, how were you able to secure the units and wafers to grow at the rates that you did in the second half, and how should we think about that visibility into the remainder of the year?
John Hollister: Yes, the first point is we did go into our inventory balance to deliver on this, and that certainly has been a source of units, but I also want to acknowledge that our operations team, Matt and myself have been working very hard with the supply chain to push for more output for us, and that’s had a positive effect as well.
Matt Johnson: Yes, and the only thing I’d add to that is we’ve had a constructive and positive relationship with our suppliers for a long time, and it’s part of what we do. They have more demand than they can respond to, so part of our value proposition is the constructive way that we work together, but also making sure they have visibility into our growth potential and our market positioning, because when they make their decisions, they’re betting on us or whoever they select as well. I think we’ve been able to do a good job with that, and I think our suppliers are betting on us as well, so as we’ve said earlier, we continue to work towards increasing our output every quarter and that’s our focus.
Josh Buchalter: Thank you. Your IOT business has always done well with this smaller, more fragmented customer base, I guess in part because you offer more flexible modules. Given some of your peers who are also constrained have had to focus on many of their auto customers, are you seeing any changes in the competitive dynamic? Is this allowing you to pick up share with incremental customers, or am I way off base here? Thank you.
Matt Johnson: Yes, there’s definitely a large amount of customers out there in the industry who don’t have the supply they need and would love to find incremental supply with us or other suppliers. Our priority is to take care of the customers that we have, where the demand there is exceeding our ability to respond from a supply perspective.  But that being said, John alluded to this, through this environment we have been able to drive the over 40% year-on-year in design wins, which is a strong record for us. Our funnel has increased to $14 billion, and we were also very happy that in this environment, we’ve been able to increase our customer count long tail as well.  I think it’s a balancing act, but we’ve been able to make good progress in this environment, but the clear priority is to make sure we’re taking care of the existing customers and not do conquest business at their expense. That’s the balancing act I think we’re striking pretty well right now.
Josh Buchalter: That’s helpful. Thank you, and congrats again.
John Hollister: Thank you.
Operator: This concludes our question and answer session. I will now hand the call back to Austin Dean.
Austin Dean: Thanks Jason, and thank you for joining the Silicon Labs Q4 earnings call. You can register for our analyst day event under the Events and Presentations section of our website at silabs.com/investors. You can find further information there as well. Operator, you can now conclude this call. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.